Anders Edholm: Good morning, and welcome to this presentation of SCA's 2025 Half Year Results. With me here today, I have President and CEO, Ulf Larsson; and CFO, Andreas Ewertz to go through the results and take your questions. Over to you, Ulf.
Ulf Larsson: Thank you for that, Anders. And also from my side, good morning, and a warm welcome to the presentation of our results for the second quarter 2025. During the second quarter, we continued to deliver good profitability in a challenging environment and are high degree of self- sufficiency in strategic areas, mitigated higher costs, not the least related to wood raw materials. We reached a bit over SEK 2 billion on EBITDA level, and by that, an EBITDA margin of 38% for the second quarter. In the quarter, SCA had higher prices and the really strong production, good delivery volumes in both Wood and Containerboard. The volume increase has not the least been related to Bollsta sawmill and Obbola Containerboard mill where we have performed strategic investments. Due to higher availability and production in our Containerboard mills, we also generally noted a lower specific cost level in the second quarter and all strategic investments will step-by-step contribute to increased productivity and cash flow generation during upcoming years. Global uncertainty remains driven by discussions around new and changing tariffs. This clearly affects the global demand and business climate in a negative way, especially the pulp market has been hit so far. Turning over to some financial KPIs for the second quarter. As already mentioned, our EBITDA level reached a bit over SEK 2 billion and which corresponds to 38% EBITDA margin. Our industrial return on capital employed came out at 8%, accounted for the last 12 months and the leverage was at 1.8x, and our net debt to equity reached 12.5%. I will now make some comments for each segment, starting with Forest. Higher harvesting levels from our own forest have contributed to a stable supply of wood raw materials to our industries during the period. We have seen a continuous long-term trend of increasing prices for both pulpwood and sawlogs as can be seen in the graph on the bottom left. Although we now feel that the market for mainly pulpwood cools down. At the same time, we will have a lagging effect until we get the full impact cost-wise. When one compared Q2 '25, with Q2 '24, sales were up 14%, mainly due to higher prices for pulpwood and sawlogs as well as higher delivery volumes to SCA Industries. EBITDA was up 21%, mainly due to higher prices, higher harvesting of own forest and higher delivery volumes to SCA Industries. Turning over to business area Wood. In general, we still have a slow underlying market for solid wood products despite the general low demand, we have noted signs of improvement in the repair and remodeling segment this year in comparison with last year. The uncertainty in general economic development continues to affect the market recovery negatively. Stock levels are on the high side among producers, but we believe mainly on the low side at customers. The price for solid wood products increased by 4% in the second quarter in comparison with the first quarter '25, although the increase has been almost double counted in local currencies. Our production level was very good during the quarter, but deliveries were even stronger, resulting in the decreased stock level of sawn woods for SCA. As expected, the cost for sawlogs has increased from the first to the second quarter, and we also expect them to continue to increase going into the third quarter. Sales were up 15% in comparison with last year. The EBITDA margin reached 18% in the second quarter, driven mainly by higher prices and higher delivery volumes. Today's stock level of solid wood products in Sweden and Finland is described at the top left on this slide and is shown in relation to the average for the last 5 years. As mentioned earlier, we note that the inventory is on the high side in general, while the SCA level is rather normal. As can be seen in the diagram to the bottom left, the Swedish and Finnish sawmill production have been on a rather normal level in the first 5 months of 2025. In the diagram to the top right, we can note that the price increased during the second quarter with a somewhat stronger development for spruce. Going into the third quarter '25, I estimate that prices in average will decrease with up to 5%, somewhat more for pine and somewhat less for spruce. This is driven by the higher availability of pine products. In the construction sector, we can conclude that the start of new buildings continues to be low. As said before, uncertainties are still present but we see improved consumption in the repair and remodeling sector, which is early to respond in a positive way to lower interest rates. Over to Pulp. In comparison, Q2 '25 with Q2 '24, sales were down 16%, mainly due to lower delivery volumes and lower prices. EBITDA was down 49% compared to last year, mainly due to higher costs for wood raw material and lower prices. Global demand for pulp was at a healthy level during the first quarter of '25 and we saw increasing prices on all markets. Anyway, during the second quarter, the market changed with reduced demand and prices came under pressure, much due to uncertainty related to U.S. tariffs that were introduced in the beginning of April. The weakening of the U.S. dollar had in comparison with Swedish currency, a negative impact on the pricing SEK in both Q1 and Q2. NBSK prices increased during the first quarter and reached USD 1,600 per tonne in Europe in April. Today, we are around USD 1,510 per tonne after 3 consecutive months with decreasing prices. In the U.S., NBSK prices have had a similar development as in Europe. In China, NBSK prices have fallen from USD 810 per tonne in March to USD 680 per tonne today. And in real terms, they are today on historically low levels. Regarding tariffs, all pulp supply is exporting to U.S., except for Canadian producers are currently subject to tariffs. Canada and Europe are the main suppliers of NBSK pulp for the U.S. market. Europeans are, of course, at risk of losing market shares in the U.S. if having higher tariffs than Canadian suppliers over time. Looking at CTMP, prices have been unchanged in Asia at low levels and decreasing slowly in Europe during the second quarter. Inventories of softwood and hardwood have been increasing in April and May, as you can see in the diagrams. And they are now on the high side. CTMP inventories on the contrary have been reduced during the second quarter. So moving over to Containerboard. Sales were up 15% in the second quarter in comparison with the same period last year, driven mainly by higher prices and higher delivery volumes and high production. EBITDA was up by 95% driven by higher prices, higher delivery volumes, lower costs related to strong production. The positive effect was partly mitigated by higher cost for wood raw materials and negative currency effects. We have seen box demand developing in a positive way during the first half of '25, although slowing down in the late part of Q2 but still almost back on the post-pandemic growth path. The retail business remains a positive driver of growing box demand over time. On the other side, we continue to see negative growth in the European manufacturing industry, which, for the moment, drives the demand in the negative direction. The European demand of Containerboard has increased in Q2 compared to the same period last year. Although due to the current turbulent macro environment, it's difficult to have a view on the long-term demand. In Q2, the supply-demand balance has been impacted by additional testliner capacity coming on stream. In Q3, we expect no further increase in capacity. Kraftliner inventories remain above average level, as you can see in the graph. During the second quarter, the availability of OCC tightened, and we saw prices increase significantly. Moving into Q3, we see the availability of OCC moving into more balanced situation and prices are sliding downwards. Prices for brown and white kraftliner increased in Q2 by EUR 40 per tonne in Central Europe. So last but not least, Renewable Energy. In the business area, Renewable Energy, we have had a quarter in line with same period last year. We delivered a healthy EBITDA margin of 18% during the second quarter. The market for solid biofuels has weakened due to warm winter and by that, lower power prices. For liquid biofuels, we see margins improving from low levels during the end of the quarter. Main reasons are increase in oil prices. European countries implementing RED III and better control mechanism within EU. We expect market volatility in renewable fuels to remain high as Europe ramps up the blending mandates both in HVO and SAF. Electricity prices were extremely low during the quarter, which impacted our wind business negatively. SCA land lease business is stable at 9.7 terawatt hours, which is equal to 20% of installed capacity of wind power in Sweden. And finally, I can also mention that the execution of our windmill project, Fasikan, is progressing according to plan. And by that, I hand over to Andreas.
Andreas Ewertz: Thank you, Ulf, and good morning, everybody. I'll start off with the income statement for the second quarter. Net sales increased 2%, just below SEK 5.4 billion, driven by higher prices and higher volumes. EBITDA increased 8%, just below SEK 2 billion, driven mainly by higher prices which was partly offset by higher cost for wood raw materials. The EBITDA margin was 38%. EBIT increased to SEK 1.5 billion and financial items totaled minus SEK 114 million with an effective tax rate of around 20%, bringing net profit to SEK 1.1 billion or SEK 1.55 per share. On the next slide, we have the financial development by segment. Starting with the Forest segment to the left. Net sales increased to SEK 2.5 billion, driven by higher prices for wood raw materials. EBITDA increased to just below SEK 1.1 billion due to seasonally higher harvest from SCA's own forest and higher prices compared to the previous quarter. In Wood, prices increased compared to the previous quarter, while the cost for sawlogs continue to increase. Net sales increased to SEK 1.7 billion, driven by higher volumes and higher prices. EBITDA increased to SEK 310 million, corresponding to a margin of 18%. In Pulp, net sales decreased to SEK 1.8 billion, driven by lower delivery volumes and negative currency effects. EBITDA decreased to SEK 261 million, corresponding to a margin of 15%. In the quarter, were a negative impact from planned maintenance stop of SEK 25 million. In Containerboard, kraftliner prices increased during the quarter. Net sales increased to SEK 1.8 billion and EBITDA increased to SEK 451 million, corresponding to a margin of 25%. The result was positively impacted by higher prices and lower ramp-up costs in Obbola. The market for Renewable Energy continued to be weak. EBITDA decreased compared to the previous quarter and amounted to SEK 87 million, corresponding to a margin of 18%. The decrease was mainly driven by seasonally lower demand for solid biofuels. On the next slide, we have the sales split between Q2 last year and Q2 this year. Prices increased 3% with higher prices in Wood and Containerboard, which was partly offset by lower prices in Pulp. Volumes increased 1% driven by higher volumes in Wood and Containerboard, which offset by lower volumes in Pulp. And lastly, currency negative impact of 2%, bringing net sales to just below SEK 5.4 billion. Moving on to EBITDA bridge. Starting to the left, Price mix had a positive impact of SEK 174 million and higher volumes had a positive impact of SEK 76 million. High costs for mainly wood raw materials had a negative impact of SEK 77 million, which was mitigated by our high degree of sales efficiency, with a positive impact of energy of SEK 55 million and a negative impact from currency of SEK 106 million. In total, EBITDA increased just about SEK 2 billion, corresponding to a margin of 38%. Looking at the cash flow. Operating cash flow increased to SEK 953 million for the quarter and SEK 1.4 billion for the first half year. And as you know, other operating cash flow relates mostly to working capital, currency hedges and should, therefore, be seen together with changes in working capital. Looking at the balance sheet. The value of forest assets totaled just below SEK 108 billion. The first half of the year has seasonally a few transactions, and therefore, left the 3-year average price used in the forest valuation unchanged. Working capital increased to SEK 5.9 billion, driven by higher volumes and higher prices. Capital employed totaled SEK 170 billion and net debt stood at SEK 13 billion and we have now almost finalized our large ongoing investment projects. Equity totaled SEK 104 billion and net debt to equity was 13%. Thank you. With that, I'll hand back to you, Ulf.
Ulf Larsson: Thanks, Andreas. And well, just to summarize, I mean, we are happy to deliver a solid second quarter in a rather challenging market. I can also underline strong production, good cost control. And I am also happy to see that our strategic investments, they are now starting to deliver and still we are in a ramp-up phase, of course. And we also see that we benefit from our business model. When we are investing in our strong value chain, we also have a strong resistance in the tougher business climate. So by that, I think that we open up for questions, please.
Operator: [Operator Instructions] We'll take our first question from Ioannis Masvoulas from Morgan Stanley.
Ioannis Masvoulas: The first question from my side on Containerboard. If we look at the realized price ASP for the quarter was up strongly sequentially and seems to have exceeded the sequential increase in the kraftliner price in SEK that you show in your slides, was there any mix shift or anything else to highlight that would explain the strong development? And then second question, again on Containerboard on the volume side. We've seen a stable development sequentially, suggesting that the overall ramp-up is potentially moving a bit slower despite what you call a normal demand backdrop. Can you provide a bit of color on the volume development here? And are you still expecting to deliver the 15% to 20% growth for the year?
Ulf Larsson: To start with the price. And I mean, we had price increases both in the first and the second quarter, EUR 40 per tonne. And as we always say, we have a stepwise implementations. I mean, we -- step by step, we benefit from these price increases. And no shift in mix, market mix or anything else. I mean, it is a rather stable situation.
Andreas Ewertz: And also, on top of that, as I mentioned before, we had a good production, which means we have higher quality and then you get a lower share of B grade quality and that will have an impact on the mix with the higher A-grade prime quality.
Ulf Larsson: And the other one was according to the ramp-up, and the ramp-up is going very well, and we have pretty much stronger volume this quarter in comparison with the last quarter but also the quarter 1 year ago. And the delivery volume was somewhat -- it's not really reflecting that because we are now coming into a rather long maintenance stop. So we prepare also for that one. But the production just now is where we thought it should be. So we are happy with that.
Ioannis Masvoulas: That's very clear. And if I can squeeze one more. When we look at your revenue split by region, it seems that the U.S. is still holding up around 10% share, both in Q1 and Q2. So there hasn't been any major shift in your business so far. If we end up with trade deal with 15% tariffs against Europe, how do you see that volume development? Do you still think you can be competitive across all your products in the U.S.? Or would you look to potentially redirect volumes elsewhere?
Ulf Larsson: I mean it depends on -- it's a relative game because if Europe will have 15% tariffs and Canadians in NBSK, for example, will have 0. I guess that might start to impact the floor a little bit. And maybe in that case, we will see more European volumes over to Asia and somewhat less to U.S. but also, I guess, on 15% level, our strategic customers in U.S., they -- I mean, they like to have a certain spread in the supplies. I guess they still will like to -- they prefer some European volumes. And so far, as you say, I mean, we haven't -- I mean, U.S. is still a good market for us, and we have high profitability to go to U.S. in comparison with Asia as it is today, and we haven't really redirected any volumes, 15%, I don't think that will have a major impact. But of course, if you get 30%, and Canadians have 0, then we start to see something, I guess.
Operator: Our second question comes from Linus Larsson from SEB.
Linus Larsson: A couple of follow-ups on Containerboard actually. And I wonder, in addition to what you already said, how much there is still to go on the ramp-up at Obbola. And also if you compare margins, where is Obbola right now compared to the business area as a whole?
Ulf Larsson: We starting to ramp up, I guess, we said 600,000 tonnes during 2025. And my firm belief just now is that we will reach that one. Margins, Andreas?
Andreas Ewertz: No. I mean -- if you look at the profitability in Obbola compared to Munksund, I would say the margin-wise a fairly similar level. But we still have ramp-up costs in Obbola. And as we improve the volumes, we will also get lower indirect cost per tonne as we can split that cost on larger volumes. So we still have a good way to go on a cost-wise in Obbola.
Ulf Larsson: And 1 quarter is just 1 quarter. But anyway, when we see the production that we've had in the second quarter, we also can see that the cost will develop in a very positive way, so which is good to see, really. As we said before, first, we focus on the volume, and then we focused on fine-tuning and the cost level. But this quarter, we clearly saw a positive impact on the specific cost per tonne produced.
Linus Larsson: But just Andreas, what you said, did I understand you right that right now, the run rate margin is pretty similar in Obbola, as mentioned?
Andreas Ewertz: Yes. No major differences. It depends on what quality you sell and things like that, but no big differences.
Linus Larsson: Right. Right. Great. And then another follow-up on the same business area on pricing, which I touched upon it already, but could you maybe share some more thought on the market asset for kraftliner in Europe in the third quarter. So like I said, I think we exited the quarter, the second quarter on a higher note. But then we've seen some negative price moves in the market, especially on testliner, but also, to some degree, maybe on kraftliner. So how do you see that market balance and that price direction in, call it, July, August, September?
Ulf Larsson: As I said, I mean, we have had 2 price increases in kraftliner during this year, EUR 40 in 1st quarter, EUR 40, in the second quarter, and we haven't seen the full effect, I guess, from the second one yet. But -- and as you mentioned also, I mean, we also have heard that testliner producers, they have reduced the price by EUR 40 per tonne for testliner. We have no price decreases for kraftliner up till today, and I don't like to speculate in that going forward -- the market going forward. So I mean, we see that we have a healthy consumption in the retail part of our business, while the industry is more hit by the ongoing discussions and negotiations in -- about tariffs.
Linus Larsson: That's great. And then just maybe if I may squeeze in one on Wood products. You said that Wood product prices may decline up to 5% Q3 on Q2. How do you see costs develop in Q3 on Q2? Is that also an adverse trend sequentially?
Ulf Larsson: It's a little bit -- we believe that prices will come back to the level we had in Q1 in Wood. I mean, then we can -- something can happen in terms of currency and -- but except from that, then I guess the cost for sawlogs will maybe increase a little bit in the third quarter. In the market, we see that -- I mean we have seen price decreases on pulpwood and more stable prices on sawlogs so that's the case. But then we have this lagging effect but what might impact the sawmills in the third quarter is reduced price on sawdust and yes, byproducts, so to say and that for us might be so that we move some part of the result from the sawmills over to Renewable Energy and so on. So that kind of changes you might procure.
Operator: Our next question comes from Lars Kjellberg from Stifel.
Lars F. Kjellberg: Most of them have already been answered. But just a follow-up on pulpwood. You mentioned cooling. I know you said the -- you've seen some price declines. Can you please quantify that? And is this a function of relatively high wood products production means a lot of residues coming out? Or is this a structural cyclical change in the wood price and in a scenario with a normalized demand on pulp, et cetera, would you expect a continued reset down or would that stabilize pulpwood prices in your view?
Ulf Larsson: I mean pulpwood prices have started to come down. And you see it in south of SCA area, you see it in officially announced price lists in our region, so to say, from Sundsvall in North, I mean we have a official stable level. But as you know, it's a 2 price system. So one part of it is the price list and the second part is what you add to the price list typically. And due to the inventory levels we see now all over the place, I guess we are in many companies oversupplied by pulpwood. And that, of course, will have -- that will have an impact on the pricing. And again, short-term, I mean, we will have a lagging effect. But I guess step-by-step prices for pulpwood now will start to come down, not a dramatic development, but still, they will start to come down. And as I said, we are well supplied and I guess in some areas, companies are oversupplied of pulpwood as it is just now. While we have a slightly different situation in sawlogs because there, I guess, many companies, they are I mean pine logs, yes, well supplied by -- but in spruce logs, we, in some areas, we lack some volumes.
Andreas Ewertz: Just to add to that, if you look what realized costs have been the third quarter, pulpwood is going down. We have a lagging effect. So talking about maybe 1% decrease in pulp prices, while the sawlog prices are still going up a bit.
Lars F. Kjellberg: Got you. And just want to clarify also the currency situation. You, of course, have extensive hedges, which is, of course, necessary to stabilize your business. But could you help us understand if we stay where we are today, what would the impact be in terms of the FX cost rates that are relevant for you? In other words, what we hedge benefit in the second quarter?
Andreas Ewertz: I mean I think in our quarterly report, you have our average hedges. And I think for dollar which has the main positive impact now is around -- I think it is -- we have in our quarterly report, but it's around 10, 20. And that is mostly related to our Pulp division because the list prices are usually set in the dollars. So they will have the largest impact on the pulp in Wood products, in Containerboard. It's the -- euro is the largest currency, but largely in SEK and then you have the British pound, but the British pound, we don't hedge.
Lars F. Kjellberg: I get that. But you don't have a number to share or -- so I can do the math, of course, or try to?
Andreas Ewertz: We have the net exposure in our annual report. You have our net exposure with -- in each currency with -- or sales minus our purchases in each currency, you have the figures there.
Lars F. Kjellberg: Final point, and you mentioned that also in terms of potential changes in directional travel off of pulp. But are you also seeing any trade flow changes from the U.S. into other markets. What I'm referencing that is there's quite a lot of capacity closures in linerboard in the U.S., most of those mills are export oriented. So have you seen any other trade flow changes, for example, the Latin America of linerboard from Europe into that market and/or opportunities elsewhere?
Ulf Larsson: I mean not really. Ourselves, I mean, we don't do too much of Containerboard over to U.S., maybe 40,000, 50,000 tonnes per year or something like that. And as it is just now, I guess, many companies, they are -- it's a little bit of a wait-and-see mode. I mean, we will have -- we have ongoing negotiations now. We don't know what will happen. U.S. customers, I guess they also like to stay with the supply they have because you have -- I mean, you build up some kind of relation and you have a strategic work together. And so again, we have to wait and see, and we have to wait and see what tariffs we will get for European supply and for Canadian supply and so on. And then when it's settled, then I guess we might see some changes in, I mean, redirect volumes and so on. But -- and we have also said, so far, we have had good discussions with customers. So we also share -- I mean, we shared the impact of tariffs and so on to a big degree, so on and so on.
Lars F. Kjellberg: All right. No, my question was really about other markets that you may end up following U.S. capacity closures?
Ulf Larsson: We -- as I said, as it is just now, we are in a wait-and-see mode. Of course, we investigate what possibilities we have in other markets for Containerboard. For example, Mexico is a good market and you have other options and I guess, all other companies, they are doing the same. But as it is just now, it's rather -- it is a wait-and-see mode. So we haven't started to redirect. We haven't really seen that other companies have started to redirect volumes.
Operator: Our next question comes Ephrem Ravi from Citi.
Ephrem Ravi: Just a quick clarification question, a couple of them. Firstly, on the pine versus spruce price kind of diversion. Can you just remind us what your current mix is? And is it kind of stable or changing between pine and spruce in terms of impact on your profitability? And secondly, in terms of the Renewables, profitability, you mentioned that solid fuels market is looking strong, liquid is looking weak and has been weak. Again, can you just remind us of the mix in terms of profitability between those 3 subcomponents?
Ulf Larsson: If we start with the share of pine and spruce, I would say that we are pretty much 50% of each. So 50% spruce production or white wood and 50% pine. And as you say, I mean, the market for spruce or white wood is stronger. And when we're coming in now to the third quarter, I guess we will have more or less unchanged prices for spruce products, while we will see a price decrease in pine maybe close to 10%. So the average will be around 5%, as we've announced. The other question, I guess, Andreas, you.
Andreas Ewertz: Yes. We haven't -- we don't give the exact split on profitability between each subsegment in Renewable Energy, but just to give some flavor on it. I would say that in the second quarter, a large part of the profitability comes from tall oil. And compared to Q1, in Q1, you have seasonally very high deliveries of bioenergies. In Q1, you have a larger change between Q1 and Q2 profitability is the change in the profitability between bioenergy. And then our wind leases, they are around SEK 100 million each year. So that's just some flavor on the profitability.
Operator: Our next question is from the line of James Perry from Citi.
James Perry: Just a couple. So firstly, on Wood, you reported about 10% volume growth year-on-year in Q2, and that seems to be about the highest quarterly volume since 2021. How much should we read into that? And how much was due to the new sawmill? And would you say you're expecting similar year-on-year volume growth in H2? Secondly, on Forest. I know you mentioned limited data for Forest transactions based on seasonally few deals. But are you able to give any commentary or guidance on what you've seen from a few deals that there have been or where you think we are in the Forest price cycle at the moment? Would you be expecting to incorporate a positive 2025 spot price moving to a 3-year average?
Ulf Larsson: Yes. Maybe I'll start with the wood. And I guess, no. I mean, no big impact in that perspective from the new investment involved. It's working well. It has been a cost reduction, and we have reduced the manning due to the fact that we have a new grading mill. We also benefit from a higher yield, both volume-wise and quality-wise from the new scanner. But I guess, otherwise, we have been -- it has been a strong month in general for production. And we have been very focused, which you are. I mean, when you are entering a more challenging market, you are even more focused on things that you can have an impact on by yourself, and maybe that is what's happened. Then typically, the spring time is very -- this spring is very, very favorable for production, not the least in the sawmills. So the weather has been good and so on. So I guess, that is what has happened in the Wood business. And then Andreas for Forest.
Andreas Ewertz: In the forest, as you said, we have seasonally low amounts of transactions during the first half of the year. But those few that we have seen, I mean, they are fairly similar to what we saw at the end of last year, but still very few transactions. And fundamentally, we see that -- I mean you have higher wood prices and lower interest rates, but you have a more uncertain market with all these global uncertainties, but the wood prices and the discount price rates has gone down.
Operator: Our next question comes from Charlie Muir-Sands from BNP Paribas.
Charlie Muir-Sands: A few short ones on the forest. First of all, are you still expecting to reach a harvest of around 5.4 million cubic meters for your own forest this year? And secondly, can you just remind us on new accounting for the price transfer on your internal sales, I believe there's a little bit of a lag. And then on the difference topic, back to a follow-up from Lars. Just on the currency side, you're obviously, as you say in the statement, given the currency hedge rates. But can you just clarify the 10, 20 per dollar rate is not -- that's what's the hedge rate going forward, not the figure that was applied in Q2. I wondered if you could just give us what the rate was on the sort of blended rate for Q2, just so I can understand how much headwind is that to come through if spot rates still hold?
Ulf Larsson: I start with the harvesting volume. And I mean the plan this year is to harvest, a little bit more than 5 million cubic meters, and that plan will remain. So we had maybe stronger Q2 than usual, and that is also, to some extent, due to weather conditions and if we have favorable conditions in the Forest, so that then -- but we are on the plan, but the total volume for the year will be -- I guess, we have said 5 points.
Andreas Ewertz: Yes, we've said that, I mean, over the next 5-year period, it's on average be 5.4, and it might be a little bit less, little bit higher, higher certain years, but around between 5.2.
Ulf Larsson: We are in the ramp-up phase also in that perspective. We have gone from 4.5 and we shall reach around 5.5. And still, we are leaving 30% of the gross growth in the Forest. I mean the net growth would be still 3 million cubic meter per year in the Forest.
Andreas Ewertz: So yes, and then on the Forest question. So half of it to get from our own forest and the other half we buy from other forest owners, primarily private forest owners in our region and then we buy the right to harvest that. But you buy on stumpage, you have a bit of -- you have inventory until you harvest it. So -- and we charge the same price to our industry as we pay for what we externally source. And as you buy the right to harvest and then you get the average price when you harvest it. So that's why it takes a while for it to have the lag effect when you harvest those rights to the forest, you have bought. So that's why you have the lag effect. So it's a mix, some of you might have bought the same month and harvest straight away by something you might have thought a couple of months ago, and you harvest it then because you want to optimize the harvesting so that you harvest everything close together. So that's why you have the lag effect. And then the last question, currency. Yes, I mean, we have hedged around 70% for the next 2 quarters and then goes down to 50% and then to 25% and you have the average hedging figures in our report. But I think for the next couple -- for the average for a period is around 10, 20, I think, for the dollars and 11.50-something for the euro. And looking at what we had in Q2 hedges, and you can look in our Q1 report, you saw the average hedges we had for the period going forward. And I don't have the same exact number in my head, but if you look at in the Q1 report average hedge you have it going forward as well.
Charlie Muir-Sands: So the Q1 report would be a weight of all the future hedges at different rates. So I was just wondering what -- and obviously, also then the weight of the unhedged portion. So I was just wondering if you could share what the blended rate was actually applied in the quarter.
Andreas Ewertz: We don't have the exact figure here, but it's fairly -- if you look at what we have now, the hedges are a bit better during the next couple of quarters. And then as we have filled on new hedges, they are a bit worse than the old ones. So you have a bit better on the near period and a bit lower on the ones going more far away.
Operator: Our next question comes from Martin Melbye from ABG.
Martin Melbye: First question, you talked a bit about the lagging effect of Pulpwood. But given that you know already this, could you share some information on the pulpwood cost impact for the industry in Q3 and Q4 quarter-over-quarter?
Andreas Ewertz: In Q3, it will be around 1% down for pulpwood and for sawlogs, it will be around 3% up.
Martin Melbye: That was Q3 or Q4?
Andreas Ewertz: Q3.
Martin Melbye: And then for Q4?
Andreas Ewertz: In Q4, we have not set prices for industries yet, we usually do 1 quarter ahead.
Martin Melbye: But given the lag structure and you talked about lower pulpwood costs, does that mean pulpwood costs down in Q4?
Andreas Ewertz: Yes, it will go down a bit, depending on what happens in the market, of course. But as we see it now, it will go down a bit more in Q4, but sawlogs will increase slightly.
Martin Melbye: And could you also talk a bit about the CTMP market. That is obviously very weak with low prices. But where are we on the Ortviken in the CTMP project, please?
Ulf Larsson: Yes. As you say, I mean, the market is weak. The production is very strong. So in Ortviken we, from time to time, we take curtailments because we don't make money when we send it to Asia. We do it from time to time, but just now we are focused on increasing our market share in Europe, and we have been rather successful there. And in Europe, we have not fantastic profitability, but still we make a profit within Europe. And also, we try to -- how to say, to qualify ourselves for new qualities in Europe because that will help us to increase the market share further. So that is the focus. But the production is very good, and the ramp-up is very good. We could easily run more than we do today, but we are limited by a tough market, which is related to the, I guess, the board market in Asia.
Operator: Our next question comes from Cole Hathorn from Jefferies.
Cole Hathorn: I'd like to start on capital allocation first. You are at the point now where you've done mostly with your CapEx into 2025. How do you think about capital deployment in 2026 and 2027 post all your major projects that you've done over the last number of years particularly when you think that your share price versus the forest value on your balance sheet and also your ambition to grow further in forest ownership? Let's start with that one.
Ulf Larsson: I mean we will be cautious with new investments. Of course, we will do our -- I mean, what we have to do to keep our mills in, yes, in good shape so that we will do. Otherwise, I mean, we will be very cautious when it comes to strategic investments. As we've said before, I mean, we are so focused now on ramping up what we already have, and we are also very positive when we see the effect of higher production and where we can utilize the investments that we have done in more, let's say, foreseeable, predictable way. So we are happy with that. And I guess that goes for '26 and '27. I mean, we will be cautious when it comes to new investments.
Cole Hathorn: I suppose, just pushing you on whether you think about buybacks or potentially some M&A on forestry assets, be it Latvia and on Baltic?
Ulf Larsson: I mean, if we start with the Baltics, I mean, we will also, in that perspective, we will be careful now. We will continue to buy some small areas in the Baltics, but as just now no big things. I mean, it is -- I mean, the conditions are a little bit unsecured as it is just now. And -- but again, the most important thing for us just now is to focus on ramping up what we have started. And then when we get to market, then I think we will see very positive effect from these investments.
Cole Hathorn: And then Containerboard, it's positive to see Obbola improve. And in time, you admit cycle pricing that will be 25% to 35% EBITDA margins. But near term on virgin containerboard do you see ability for the virgin price premium versus recycled to expand, considering that besides yourselves, there's no major new supply being added versus recycled?
Ulf Larsson: Yes. I mean, as I said before, we know what we've had up until today, and we know the price development for testliner. And we are just now in negotiations, of course, for the autumn, and I don't like to negotiate with myself. So I mean, we will try to defend the price we have for kraftliner. And from my point of view, it's okay with a wider gap than we have today. So -- but let's see. It's -- we have ongoing -- not maybe just now because now we are going into holidays and so on. But I guess we will have some ongoing discussions during the autumn and very much dependent on U.S. tariffs, OCC prices, gas prices and that kind of things. Yes, I think I'll stop there Yes.
Cole Hathorn: And then I'm just wondering how you think about softwood here. I mean I know global pulp inventories are elevated and the market has been impacted by tariffs. But we've got downtime from its Metsä Fibre, UPM is extending their maintenance, which should be helpful. And we've also got a situation in Canada where if Brazil tariffs are implemented, I imagine some of the tissue producers at the margins will shift a little bit more to softwood, and that means less exports to China. So do you feel that the softwood prices is pretty close to the bottom end? Do you think we could get some more positive dynamics in softwood pulp versus hardwood pulp, should it be ultimately be more resilient?
Ulf Larsson: Yes, I think so. And as you say, I mean, I think we are -- if we are at the bottom or if we are close to the bottom, I don't know, but as you say, I mean, we see many companies, they are announcing curtailments. And I guess, yes, that will be the case. Now we cannot -- I think we have a Chinese price now 680 or something like that, and I think we have more or less reached the bottom. How far will the market recover? Well, I guess that also depends on the ongoing discussions now with U.S. and I think it is maybe more important for the market development that we have some kind of agreement, whether it's 10% or 15%. Maybe that's not so important. The most important thing is that we have something that we can believe this will be the case now going forward. So -- and of course, we like to have some, yes, let's say, fair competitive conditions. So it's also a question about relations. If Canadians, if they get nothing and Europe will get 15%. I mean, that will change the -- then I guess, we have to redirect some volumes. But all in all, the consumption will be more or less the same. If Brazilians, if they get 50%, yes, I guess then we will see some substitution favoring long fiber for a while. But it's hard to predict. Where we are just now, I guess we are at the bottom. I guess we have to wait to the end of this year or maybe beginning of next year before we see a general market recovery. And as you all know, I mean, pulp is volatile and yes, but that's my view.
Operator: Our next question comes from Oskar Lindstrom from Danske Bank.
Oskar Lindstrom: All right. I have 3 questions from me. First off, just on the wood costs. So you're saying market prices are coming down in Q3 quarter- on-quarter. But that your costs will only come down in Q4. Is that how we should understand it?
Andreas Ewertz: In pulpwood, the cost is coming down a bit and is starting to come down in Q3, down by 1% and then depending on how the market develops, but it will continue to go down. But for sawlog the prices are not coming down yet.
Oskar Lindstrom: And my second question is on Pulp or your Pulp operations. Your shipments were down 6% I think, year-on-year. Did you take production curtailments? Or did you build up inventories? How should we understand that negative volume number?
Ulf Larsson: In NBSK, we haven't taken any curtailments and we will not do that. But we will have a rather long maintenance stop in this -- I think it's in the Q3 and...
Andreas Ewertz: And Q4.
Ulf Larsson: 50% in Q3 and 50% in Q4, and during that stop, we will also replace our economize, so it will be a prolonged -- it will be a little bit longer stop than normal. So that's why we are increasing our inventory level.
Oskar Lindstrom: All right. My third and final question is on forest land valuation. So we're seeing one of your peers initiating a strategic review of their forest land asset with a possible outcome that they will list those forest land asset separately or hand them out to current shareholder. Would having publicly listed forest land company impact how you value your forest lands. i.e., that sort of accounting standards would say that, because currently, you're valuing your forest lands based on comparable transactions. Would there be a need for you to base your valuation of your forest lands on the publicly -- the valuation of a publicly listed forest land company?
Ulf Larsson: I mean we don't know what will happen with the potential split in Stora Enso. So it's far too early to speculate. But that -- what we can see now is the transaction that is already done that supported the forest valuation that we have today. I mean, it was as far as I've understood, the price was a little bit higher than the book value. And so that is more supporting the model that we have today already.
Oskar Lindstrom: Yes. But my question was not sort of what the outcome of the strategic review will be. But if you had a publicly listed pure-play forest land company, from the accounting perspective, would you need to base your valuation on that rather than on transaction prices or?
Ulf Larsson: I understood your question, Oskar, and I gave my answer.
Operator: Our next question comes from Andrew Jones from UBS.
Andrew Ian Jones: Most of my questions have been answered, but just one final one on Obbola. Obviously, volume is still pretty low compared to the long-term rates. I mean we're probably a few years into the ramp up now. I'm just curious as to when you expect to get to that kind of peak production or normalized production level. Can you remind us what that should be? I was thinking it would be closer to between the kraftliner mills, your containerboard production will be up at sort of about 10.75 or something long term. Is that still achievable? Or have you encountered any operational issues, which my might preclude you from actually getting there eventually. And given it's been a while since we have like a sort of the original EBITDA kind of forecast on the project when you commissioned it, I mean from where we are today, at sort of current price levels, what sort of incremental EBITDA would you expect from that project in the medium term?
Ulf Larsson: I mean we are where we -- as I said, we are where we expect it to be. We have said 600,000 tonnes this year and I guess we will come pretty close to 600,000. The target for next year be 700,000, around 700,000 and I guess we will reach that one also. We see now that we absolutely have the -- let's say, the capacity. Many days today, we are far over design capacity, but it's more a question of availability, which is quite common, I guess, when you ramp up a new machine. So no doubt about that. Then, of course, you will have some depending what kind of product mix you run in the mill that will also have some kind of impact what -- it's grammage, but it's also how much Eurokraft you run and so on. And you will -- I mean, mill is never finalized. I mean, you have to fine-tune the production all the time. In Munksund this quarter, we made a production record, and the last one was 17 years ago. So I mean step by step, you try to do what you can to improve the productivity and the cost efficiency and so on. But at the same time, you develop a new product mix and so on. But the project so far, I mean, we are -- I guess we will come close to 600,000 this year, as we've said. I guess we will come close to 700,000 next year, as we've said, I guess we can further improve the -- not the least the cost efficiency in the mill that is coming after that. And then something about margins and maybe you, Andreas should.
Andreas Ewertz: Yes. We have guided on around SEK 800 million to SEK 1 billion when fully ramped up. And so far, I would say, in 2024, we had ramp-up costs. We didn't have any net contribution this year. I mean, I would say that a very minor contribution. I think we still have the potential still to come.
Andrew Ian Jones: Okay. And then just on -- into the third quarter, I mean, obviously, you talked about how pulpwood cost is coming down slightly. I guess OCC was a bit of a cost headwind in the second quarter. I mean that is probably coming off now. Can you just talk through overall how you see the variable costs evolving in the third quarter and give us some -- potentially quantify that, if that's possible.
Andreas Ewertz: Yes. So we start with sawlogs I mentioned around plus roughly 3%. Pulpwood down maybe 1%, OCC will go slightly down. If we look at fuels, chemicals, I think no major changes, also in transporting, fairly stable. So the biggest impact will, of course, we have our maintenance stops in -- starting in Q3 and going into Q4, both in Obbola, Munksund and Ostrand, I think that will be the biggest cost. And then we, of course, have seasonally higher costs for road maintenance in the Forest division during the third quarter.
Operator: Our last question comes from Pallav Mittal from Barclays.
Pallav Mittal: Pallav Mittal on behalf of Gaurav Jain. All my questions are answered, but if I can just ask one on how you're thinking about the Renewable Energy side of things going into the second half? And if you can provide any update on the wind farm expansion project?
Ulf Larsson: Yes. I mean, we described Renewable Energy business earlier. And just to underline, we are happy with 18% EBIT margin in the second quarter. When it comes to the development for the -- if I heard right, I mean, for the new mill in Gothenburg, we are -- I mean, we are already -- I would say, at design capacity, yes, it is just now. So that was...
Andreas Ewertz: Was it the wind or the biofuels?
Pallav Mittal: On the wind side.
Ulf Larsson: On the wind, sorry. That one is according to plan. So we will start up now in the autumn. So that is perfectly fine. And then the Biorefinery is also working very well. So we have already reached the design capacity in Gothenburg, which is very positive. Then the margin is low, but it's slightly better in -- due to increasing oil prices in the second quarter, we've seen a little bit higher margins in the mill, but it's more a market issue. When it comes to production, it's working very well.
Operator: There are currently no questions in the queue. [Operator Instructions] There are no further questions. So I will hand you back over to your host to conclude today's conference.
Anders Edholm: And that, ladies and gentlemen, concludes our presentation of the half yearly report. Welcome back in October for our third quarter results. Thank you.